Operator: Please standby. Statements made on this conference call regarding expected operating results and other future events are forward-looking statements that involve risks and uncertainties. Forward-looking statements are made based on current expectations, assumptions, and beliefs as well as information available to the Company at this time. A number of factors could cause actual results to differ materially from those anticipated. Further information about these risks can be found in the Company's filings with the SEC. When we get to question-and-answer portion, management ask that you be respectful for everyone's time and limit yourself to one question and one follow up. And it is now my pleasure to introduce your host, Mr. Michael Schall, President and Chief Executive Officer for Essex Property Trust. Thank you Mr. Schall, you may begin.
Michael Schall: Thank you. I would like to start by welcoming you to our First Quarter Earnings conference call and we appreciate you're spending sometime time with us today. Mike Dance and Erik Alexander will follow me with comments. John Eudy, John Burkart, and Angela Kleiman are also in attendant. I'll cover the following topics on the call: First, Q2 results and market conditions; second, rent control activities within the West Coast; and third, an update on the investment market. On to the first topic, yesterday we were pleased to report quarter driven by robust job growth which is expected, produced demand exceeded overall housing supply, a reported 7.8% same property revenue growth represents the best quarterly result in the past 14 years. I thank the Essex team for their tremendous effort and for exceeding expectations once again. Northern California continued its outperformance with the East Bay generating the best rent growth. Southern California continues its expected steady improvement in revenue growth led by LA and Orange County which both reported same stores revenue in excess of 6%. With the few exceptions, rents at the B quality properties and locations are growing faster than As due primarily to two factors. First, affordability has a greater impact on the rental decision given that rents have grown faster than income, and second virtually all the supply from apartment development is in A product category, changing the supply demand dynamic within that segment. We updated our economic forecast on Page S-16 of the supplement, increasing our 2015 job growth expectations for coastal California and Washington to 2.8%, up 12% from last quarter. As before our total 2015 housing supply both rentals and for sale are estimated at 0.8% of total housing stock supporting our believe that the West Coast housing demand is outpacing supply more than 2 to 1. Market occupancy remains high and the largest part of the millennial generation those between 20 and 24 years of age are about to enter their prime rental years supporting our belief to these conditions will not change materially in the next several years. Looking forward for the nation Axiometrics estimate that approximately 1.4 million households per year will be formed between now and 2018 while constructions start are only about 1.1 million to 1.2 million. This strong outlooks support the Axiometrics revenue growth estimates for selected West Coast market ranging from approximately 20% to 30% over the next five years. We continue to make progress on the Phase III merger integration planning process outlined in our NAREIT presentation and available on our Web site under the presentation section of the Investor tab. Most of the Phase III impact will be realized after 2016, between now and the end of 2016 we should benefit from the restart of the BRE redevelopment program which should add around 50 basis points of growth to the BRE portfolio in 2016. The resource management initiatives should reduce cost on the BRE portfolio by about $100 per unit per year when fully implemented and we should eliminate the 60 basis points occupancy differential that was embedded in our Q2 results. Now on to my second topic which is rent control on the West Coast, I commented last quarter the rent control is in ongoing discussion in several West Coast cities. We continue to see plenty of media coverage concerning the pace of rent growth and its relationship to income. The city of Richmond California recently decided to pursue a rent control ordinance although details remain in draft form. The ordinance appears to cover property constructed before 1995 a date mandate by state law and creates a CPI based formula for capping renewal rents. Recall that California law generally mandates statewide D control [ph] upon move outs allowing rents to go to market when residents move out, which is very important to property values and the flow investment capital into rent controlled areas. Essex owns one property in Richmond and it does not appear to be subject to the ordinance given that it was completed after the 1995 date. We'll continue to monitor rent control discussion throughout outer portfolio. And then on to third topic, investment markets. During the second quarter a combination of great NOI growth and a pullback in stock price caused our accretion hurdles for acquisitions to be difficult to achieve. But that in combination with fewer transactions makes the acquisition environment more challenging. Our acquisition preference is for undermanaged properties throughout our markets, transit-oriented properties and CBD Los Angeles given its relatively attractive price point that has been impacted by significant apartment deliveries. In CBD LA we believe that the short-term supply issues and relatively affordable rents for an urban market will draw residents from other parts of the metro area and meaningfully contribute to the transition of CBD LA to a 24 hour city. We thus believe that CBD LA is a great long-term investment. The flip side of a more challenging acquisition market is a better market for property sales. Our plan is to continue to slowly call the portfolio. Headwinds to more aggressive selling of the portfolio include the impact of Prop 13 in California and the often higher rental growth rates in the non-urban parts of our portfolio. Cap rates remain lower throughout our markets. Using the Essex cap rate methodology, our best estimate is that the highest quality property at locations create around a 4% cap while B quality properties in locations create around a 4.5% cap rate. Lesser quality properties create a higher cap rates in periodically and aggressively under written or trophy property will trade in the high 3% cap rate range. We are quite sure that aggressive assumptions on buyer pro formas often indicate that cap rates are 50 basis points or more above the cap rate that we determined using the Essex cap rate methodology especially on high rise apartment properties. Before passing the baton to Erik Alexander I would like acknowledge as previously announced that this is Mike Dance's last earnings conference call, so take your best shot in the Q&A. I thank Mike and Angela Kleiman for creating a smooth CFO transition process and again I greatly appreciate Mike's many contributions to the company's success. This concludes my comments thank you for joining the call. I will now turn the call over to Erik
Erik Alexander: Thank you Mike. I am grateful to the operations team that has remained focused on executing our plan and delivering the great results that we are reporting today. The second quarter was very strong and we continue to have positive outlook for all our markets. Higher than expected job growth continues to be the primary catalyst for rising rents and strong occupancies throughout our portfolio. The strong demand conditions that we expected pushed economic rents higher and generated a portfolio wide loss relief [ph] of 8% in July. We believe this is the peak season but expect a seasonal decline in rents during the fourth quarter to be of similar profile in 2014 which was less pronounced than prior years. Once again the Bay area led the way for Essex with San Jose and the East Bay posting the largest revenue gain. Seattle continued its healthy growth despite several new projects opening. We are monitoring CBD supply closely and believe the 2016 will have comparable levels to 2015. We also continue to see good growth in Los Angeles and Orange County and expect San Diego to improve in the third quarter with stronger scheduled rent growth. Gains from renewal activity increased 6.7% portfolio wide and we’ll continue to support strong revenue results in the coming quarter. Renewal rates for the third quarter will be above 6% due to the portfolio. We are also pleased to see that year-to-date turnover has not increased over last year and was 55% during the second quarter compared to 57% a year ago and only 50% on a year-to-date basis for the same-store portfolio. As of yesterday the physical occupancy for the same-store portfolio was 96.4% with a 30 day availability of just over 5%. So while we are not giving guidance for the next year we believe the aforementioned condition, healthy job growth and static supply forecast for 2016 will help us deliver strong results for several more innings. Now I will share some highlights for each region beginning with Southern California. Orange County and Los Angeles continue to be strong performers this quarter with job growth remaining above 2.5% in both counties. The composition of jobs in Los Angeles is improving with nearly half the job growth in June coming from professional and business service and education and health service sectors. San Diego's were weaker than the first quarter but were hindered by some planned renovation activity that is now completed and has been re-leased. Since we continue to see strong job growth in this market I believe we will see revenue growth return to levels above 5% during the third quarter. Office leasing for the region was positive in all counties with the greatest absorption realized in Los Angeles, where 1 million square feet was absorbed during the quarter. We remain excited about the renaissance of Downtown Los Angeles and are seeing strong leasing activity in the sub market. Our 8th&Hope project has added more than 27 units per month through July and will stabilize next month. We have also leased 35 units since closing Avant in the middle of June and are 98% leased. Los Angeles is one of the markets that is expected to have an increase in supply next year but it remains very low at 0.6% of total housing stock. Turning to Northern California, the job growth engine continues to fuel great results in the Bay Area, not only did San Jose post a 5.5% gain in June, the 12 month trailing growth rate is also above 5% and more than twice the national average. The information in professional business service sector represented the bulk of the gain by accounting for more than half of the overall growth. Oakland has not enjoying the same job growth as San Francisco and San Jose but certainly has more than enough when combined with limited new supply and the overall demand from these adjacent MSAs to make this submarket a top performer of the portfolio with 12% year-over-year revenue growth. Office leasing remain strong in the region as over 1 million square feet were absorbed during the quarter. Of note Apple leased two buildings near San Jose airport totaling 600,000 square feet and signed their first lease in San Francisco. Palo Alto networks just signed and pre lease for 750,000 square feet in Santa Clara. As expected economic rent levels continue to be strong and are up 13% from the beginning of the year and we expect them to remain at similar levels during the third quarter. Strong occupancies make these double digit growth numbers possible. Currently, the same store portfolio stands at 97% occupied with less than 5% availability. We’re seeing the same strong demand for our new communities as well, we stabilized Park 20 and Emmy ahead of schedule during the quarter and one south market in downtown San Jose is 50% leased and has an averaged 40 leases per month since opening in April. With performances like that, very strong job growth and new unit supply we expect this trend to continue in the Bay Area. Finally in Seattle, the employment growth in this region continues to be strong as well and remains above 3.5%. Trade, transportation and utilities along with professional business services account for nearly half of the job formation. And June represents the 9th consecutive month that construction has eclipsed 10% growth. With 7 million square feet of office and dozens of residential projects under construction, it is easy to see why this job sector is so strong. Additionally, 40% of that space under construction has been preleased including two more buildings leased by Amazon totaling 810,000 square feet. As expected office leasing overall improved during the quarter with over 800,000 square feet absorbed. Demand continues to outpace supply which has led to strong revenue growth. Properties at the CBD have weathered the concentration of deliveries reasonably well so far but the suburbs in the south and north end continue to deliver the best results for us and we do not expect that to change in the coming quarters. As expected, economic rent growth continues to accelerate since last quarter and was 13% higher on a year-to-date basis. We expect continued strength in the north and south end as well as B properties on the east side. Given our strong occupancy position and low exposure in the fourth quarter, we continue to expect strong revenue growth in the next year. Currently, the physical occupancy in the Seattle portfolio is 96.7% and an availability at 5%. We’re very pleased with these results through the first half of the year and I think our momentum should lead to equally impressive second half. Thank you. And I will now turn the call over to the honorable, Mike Dance.
Mike Dance: Thanks Eric. Today I will provide comments on the second quarter results and the increase to our ’15 guidance. Operating results are outperforming our expectations. The second quarter results continued to build on the strong first quarter driven by greater than expected demand fueled by the high quality jobs created in our markets. Accordingly, we are confident in raising guidance for the second time this year with a midpoint of our full year ’15 same property revenue forecast to 7.9%. The midpoint of our estimated expense growth has been reduced by 50 basis points primarily due to lower than expected utility cost from reduced water use and accordingly we have increased our expectations for ’15 net operating income growth to 10.5%. We are now forecasting same property revenue growth to be 60 basis points above the strong growth reported in ’14 demonstrating the benefits of investing in supplies constrained trade markets. Not surprisingly, our joint venture portfolio also contributed to our strong second quarter. Most of the stabilized operating apartment communities owned as co-investments are commutable to the urban job node and represent a value proposition compared to the rents in the urban location. The stabilized co-investment portfolio with comparable year-over-year results now total over 7,300 apartment homes and in the second quarter these communities grew revenues by 7.9% and net operating income by 11.4%. Through the second quarter, we have received over two thirds of the supplemental taxes with new tax assessment of values pertaining to the legacy BRE portfolio. To-date the net impact of the supplemental property tax statements received have been slightly favorable to our conservative estimate. The estimated property taxes pertaining to the 15 same property portfolio is expected to be 27.2 million for the third and the fourth quarters. The savings on property taxes are offset by an increase to our property management fees. We recently completed an analysis of our corporate G&A cost that concluded we should be allocating just over 2% of gross revenues as the cost of property management activities for the corporate department that support property operation. The new cost allocation is still 90 basis points less than the 3% property management fees commonly used by analyst and multifamily peers. The increase in property management fee allocation decreased general and administrative expense and accordingly we have reduced the ’15 forecast for G&A expense by $2 million on S-14 in our supplement. To summarize, this accounting allocation is merely a reclassification of expense that increases property operating expense and decreases general administrative expense by the same amount and has no impact to our net income or to our reported of core FFO. With the full year we're raising the midpoint of our core FFO per share guidance by $0.16 to $9.64 or a 1.7% increase over our prior projection. The revised midpoint in '15 guidance is a 13% growth in core FFO compare to 14. Our year-over-year results coupled with the lease up of the development pipeline continued to strengthen our credit metrics contributing to the change in S&Ps credit outlook in Essex from BBB stable to positive. The debt-to-EBITDA ratio at June 30 was 6.3 times and total debt to our market capitalization was just over 27%. In closing my last quarterly conference call, I do want to personally thank Keith Guericke, Mike Schall and the entire Essex Board for giving me the opportunity to serve as the Essex's Chief Financial Officer for the last 10 years. I have been truly blessed to have worked for such a supportive board and two chief executive officers that have great respect for. It has been a pleasure to be part of a management team and organization that cares about the qualities of homes we provide for our residents, the culture we provide for our associates and resulting financial returns that have benefited our shareholders. Our success has truly been a team effort and I am proud to have been a small contributor to the E-Team. Given the many talents of Angela Kleiman and strength of her supporting cast and finance, accounting, co-investments, research, investor relations and economic research, I am confident that the transition of my responsibilities on September 30th of this year will be seamless. And finally before the turn the call to the operator for questions, I want to stop the rumors that yesterday's earlier than expected press release was caused by my rushing to the exit.
Operator: And question-and-answer session will begin at this time. [Operator Instructions] We will take our first question of the day from Nick Joseph with Citi. Please go ahead.
Nick Joseph: Congratulations Mike and appreciate the colors on the rent control initiatives, could you give us an update on a talk on changes to Prop 13?
Michael Schall: Not a whole lot, Nick, has happened on Prop 13, and this is Mike Schall speaking. Although it's always out there and there are a number of organizations, labor units, et cetera that have almost continually over the last 40 years mounted an attack to Prop 13. So I think it's still early we will wait unit we're closer to the election to see exactly what's going to happen, but there is no update as this point.
Nick Joseph: Thanks and then you've talked about rents growing faster than income, so how was the rent-to-income ratio changed over the last few years for the qualified renters?
Michael Schall: The fortunate thing is we've been adding some very high income renters to the [indiscernible], so not only do we have great job growth, but we have jobs that are worked for a lot of these tech companies that are also high paying jobs and therefore if you look at the personal income growth for per capita, we're in some areas that have some pretty stellar numbers. For example, Seattle is at 5.8% projected for 2015 again, this is personal income growth per capita. San Jose is 6.2% et cetera. So I think in any event holding rent at medium income constant, you still will generate a pretty significant rent growth outcome there. So we are very fortunate from that perspective. Rent median incomes are below generally long-term historical averages in Southern California and about 10% above the long-term historical average in San Francisco and Oakland and little bit above in San Jose. So I'd say in summary, we are starting to push a little harder in Northern California on that metric, but still have lots of room to run in Southern California and Seattle.
Operator: Next is Jeff Spector with Bank of America.
Jeff Spector: On behalf of Jana and myself congratulations Mike, on to strategy going forward, just again listening to the call and the results, not only this quarter but of course over the last year beating even your own expectations, stabilizing properties better, employment stronger again from a strategy standpoint is there anything else, any other lever you guys can pull at this point, anything new you could bring to the company or get more aggressive on to do, now that it seems like you're moving on to the next phase with BRE?
Michael Schall: Jeff, its Mike Schall speaking again. We have a lot of work to do here both with respect to the BRE, the Phase III transformational process. John Eudy is here with me and we're looking at a number of development deals. We would love to find more development especially in Southern California. We are looking at every deal that comes to market, that meets our criteria and we will continue to do so. Having said that, when you get back to the reality, the stock is done, okay but it's pulled back a bit while earnings are surging and when you get to that point that on a leverage adjusted basis the returns on the stock going forward look better than the returns on the real estate going forward it causes you to pause. And so we are in that period of time. Now if the stock has some momentum here going forward, maybe that relationship changes. But we are going to continue to be prudent and we feel like we have an enormous amount of work to do as it relates to again the transformational activities, that we think that those will be material past 2016, it's going to take a lot of work to get there. So no means are we sitting on our laurels and we have a lot of work to do.
Operator: We will now go to Jordan Saddler with KeyBanc Capital Markets.
Jordan Saddler: You guys mentioned a few items on the call about CBD LA being an attractive long-term investment. I guess, what's your appetite to add more to the sub market and do you think as new supply comes to market next year that there might be more opportunities?
Michael Schall: Hi, it's Mike Schall again. I think we do like CBD LA as we all acknowledged and I think it's one of the areas that when we look at price points and we look at demographic issues in the preference of the millennials for more urban settings and the transition together, the broader transitions that are happened in CBD LA. It will continue to be one of our key focuses going forward. In our world everything is about the basic strategy which is finding properties that are located near jobs in places where people want to live. And we find that up and down the West Coast in a variety of places. And so we will stick to our knitting as it relates to that. And CBD LA fits into that, but it's not exclusively CBD LA we're going to be -- we're going to react to the deals that we see and the opportunities that we have relative to other great areas to try to make prudent decisions as we've done in the past.
Jordan Saddler: Thanks for the color there. And then just sticking with sort of Southern California. How has Orange County performed relative to your guys expectations this year and what's your outlook for the remainder of the year given some of the deceleration that occurred in the second quarter?
Erik Alexander: Hi this is Erik. We're looking for Orange County to be strong in the second half of the year, again supported by good job growth and we've had a mixed performance there in Orange County with respect to As and Bs. So we are getting contributions from [indiscernible] the Skylines of the world and we think that we're going to see some better performance with some of the -- kind of the middle tier properties in the second half.
Jordan Saddler: So would you say that it's tracking in line or what are your expectations for the year?
Erik Alexander: Yes, I think at the beginning of the year we had a close to the top performer with expectations that could possibly do better and I still think that that's possible in Orange County.
Jordan Saddler: Great, thank you.
Operator: Next is Ian Weissman with Credit Suisse.
Unidentified Analyst: Hi guys this is Chris for Ian. Guidance seems to imply a little over 3% expense growth in the back half of the year. Mike is this -- it sounds like some of that comes from reallocation of expenses from G&A to property management, is the rest coming from like a normalization of property taxes and utilities or is there something else going on there?
Michael Schall: Third quarter is typically our highest expense month. We have most of our turnover and obviously the Southern California’s hotter weather, people are using air conditioning more so I think just a high expense month historically or high expense quarter and we expect that to continue this quarter.
Unidentified Analyst: Got you, okay. And so we've seen NOI margins there approaching 70% and most will certainly go above there later this year in 2015 given your revenue and expense trajectories. But like on a DCS evaluation it seems like you'd almost have to keep it at 70% to get a meaningful upside on the stock. I just wanted to get your thoughts on where you think like a long-term NOI margin ends up, after things start to normalize?
Michael Schall: It's Mike Schall. It's ranged in that mid to high 60s to 70 historically, but I agree with you the math is math and it can push higher than 70%. We think that as we look at the world we are not a margin driven company, we are looking for rent growth, looking for supply demand imbalances and areas that we can operate properties efficiently on the expense side. And whatever happens to the margin happens to the margin. So it’s not the primary metric that we use. I understand how the math works and what you’re refine to, but from our perspective if we do our jobs we’re going to find areas where rents grow and expenses grow at smaller rates and it’s going to push margin up.
Unidentified Analyst: And then the last question. How much if any of the sequential slowdown in Southern California had to do with the change in the same store pool?
Erik Alexander: I don’t think much, I think the part of it was influenced by that what we talked about in San Diego, which we expect to normalize. And then we’re looking for better performance from a couple of assets again Los Angeles. And I think Orange County will stay on the same strong trajectory and Ventura has been stable.
Operator: Next is Rob Stevenson with Janney.
Rob Stevenson: Michael you said before on one of the questions that you guys were hunting around for land in Southern California. I mean what’s been your ability to acquire across all of your markets these days and backfill the pipeline because it doesn’t look like -- I think it was like $38 million of land left that’s not been started on. Is that correct?
Michael Schall: I don’t know the exact number. We have several land parcels that we’ve been entitling for the last couple of years, one in San Diego, one in Hollywood and one in Santa Clara. But we’re always active out in the markets. And John Eudy is here and I know John and his team have worked hard to look at the transactions in Southern California which they have not been as attractive up to this point because of the rent growth differential in Northern California versus Southern California, but are becoming more attractive. John you want to comment on anything you see out there in the land market, I know we have trouble hitting our target in general. But any color on that?
John Eudy: As Mike said, we’ve got a couple of more there. We have -- that will be most likely showing up on the reporting next quarter or two, but not many. Right now land prices have been bid up, construction cost are up as we know, exactions are tough [ph] to do a development deal. We love it when we get in the mid six cap range and above, but we have to have that spread between acquisition caps and development to take the risk and we see stuff below 5.5 to 6 on current economics. We’re not going to pursue it and we’re running into a lot of opportunities that are well below our threshold, that’s the bottom line we’re culling a lot and we’re not seeing enough transactions worth taking the risk.
Rob Stevenson: Does that mean that in order to get to those numbers that you need to get to that it’s highly likely that it’s going to need to be done with a JV partners in order to access lower cost of capital and also get to promote in order to get you up into the range that’s acceptable?
Michael Schall: I would say no, it doesn’t have that much to do with capital per se. It has to do with remaining disciplined, since Keith’s favorite thing that he taught us along the way, remaining disciplined, waiting for the opportunities that make sense for us. Again we are trying to -- since we use capital, a great deal of capital we’re trying to make sure that on a risk and leverage adjusted basis the investments that we make are going to outperform the stock. And what the stock is going to do pretty well here given our growth trajectory. So we’re not going to push it just to make some deals work, we’re going to remain disciplined and try to stick to the strategy. And we’ll just wait for a better day. I think we’re going to have great results for the next couple of years just based on what we already have locked in. So, there is nothing within us that motivates us to bunch of stuff that keeps us even busier and perhaps distracts us from all the other things that we need to do.
Rob Stevenson: And then how much condo conversion and ground up development are you seeing these days in your market?
Michael Schall: Well, condo conversion and actually John Burkart is here as well. But I can probably summarize what he would tell you, this is Mike Schall again. Not that much and mostly because the relationship between apartment values and condo values is pretty much non-existent. And we need -- actually all condo developers need somewhere around 30% to 40% premium to apartment values, otherwise why would you do a condo, its lot less risky to do -- to completing an apartment. And so the preference would be for apartments. And there is a commerce department statistic that we recently saw where only 5.5% of the multifamily construction starts are condos which is the lowest since the 1970s. So I think that pretty much tells you what’s going on out there, that condo values have not recovered to the point that condo conversions make a great deal of sense. And actually, I would caveat that with -- in the City of San Francisco there is starting to be some significant premium, but not 25% to 40% that we really need.
Operator: We'll now to go to [indiscernible] Jefferies. Please go ahead.
Unidentified Analyst: The question we had was just again, in new markets just given how quickly rents are rising and also some initial public backlash you're reading in the papers about how quickly the rents are rising, are you starting to see municipalities talking about making it easier or cheaper to build in any of those markets or it's just on the homebuilding side and the apartment side, I think just new supply is very limited and there is a so much demand, both side of the equation just keep going up?
Michael Schall: Well, this is what we love about the West Coast markets because, no exactly the opposite. They believe that they can get more out at the developer not less because things just so good and I'll use as an example that there is a pretty strong group -- couple of groups in San Francisco that are suggesting that the below market rate unit should go from 20% to 30% because everything is going so well. So I mean you have a number of headwinds and this is why John Eudy's comments are so apropos. You've got construction costs that are increasing somewhere in that 10% range which that's probably as good as NOI growth is going to get, so your this idea of going from 5.5 cap rate today to 6.5 cap rate is little bit in peril given that scenario. You've got cities that recognizes that they have housing shortages and especially with respect to the more affordable elements of housing and therefore they're trying to essentially give the developers to bear a greater part of that obligation and plus a number of other headwinds which are just long entitlement process NIMBY [ph], et cetera. This is why we love owning property on the West Coast because it's so difficult to build here. And so are we okay with not doing a lot of development, yes, we're because if we can't, guess what, no one else can either and if no one can develop significant amounts of property, then our existing $20 billion portfolio is going to do pretty well. So that is our dynamic and candidly we're going enjoy while it’s here.
Operator: Next is Tom Lesnick with Capital One Securities.
Tom Lesnick: I just wanted to address H1B Visas for a second, it’s becoming increasingly political top as we head into this election season and particularly for tech companies there has been report of a few major players laying off domestic workers in favor of asking for more H1B Visas, I am just curious on the West Coast in particular, what is your exposure as a person of your renter base and how do you guys view that risk politically?
Erik Alexander: Hi, this is Erik. I don't have the account of that in front of me, it is -- and you're correct, it is a segment of the population primarily in Seattle and the Bay area. And politically and I don’t know, but it's hard to judge the risk. But clearly we benefit from having those renters there and we'd be in favor of keeping them. Mike you have something to add?
Michael Schall: Yes actually I have a comment, I think that those are targeted towards highly skilled workers obviously and the skills that you cannot find here in the United States, generally speaking and therefore the positions within the tech community are -- it's hard to find qualified workers to take the positions that are available in the tech market, mainly in Seattle and Northern California. And I don't see even if they increase the H1B Visas, it being a threat to the domestic workforce because I think that you have a situation where there is enough demand out there, enough open positions out there that employers are having a hard time filling their positions again specially in Northern California and Seattle. And so I don't see the H1B issue being a big problem at all and in fact is probably beneficial. I think that one of your concerns as we look at cost going forward is actually because of the cost increases and difficulty in finding employees, I think that there is some wage pressure that we see throughout our market and I don’t see that abating in the near future. I know that a lot of people that we're looking at or coming from out of state and so again I think that the markets very vibrant here, the employment market, and therefore having good quality people coming in irrespective of source is not going to be a problem.
Tom Lesnick: Thanks for that color and then my second question, I understand that there are several corporate housing agencies that work with the big tech companies down in the Valley and that a percentage of your units are probably working with these agencies, what is the percentage across your entire portfolio and what is the rent sensitivity on those units relative to traditional direct leases?
Erik Alexander: This is Erik. So we don’t track the agencies separately, we do track the corporate leases as a sub category. So I will tell you that which is it is less than 3% across the portfolio and it is highest in the Bay area where it’s just over 4% and in Southern California it’s just under 2%. Our sensitivity is really related to concentration in individual properties and the thing that we pay most attention to is the lease expiration profile. So the thing that we don’t want to do is load up in expirations in any one month. And so we will look at these on case-by-case basis and they reviewed with the revenue management team and they -- a more senior level person in operations to make sure that we get the composition correct. Because there are times when the sort of tenants can really benefit us, like in a lease up for example and they fit in nicely and add to the cash flow. And there are other times where we need to be careful about the timing and when they add.
Tom Lesnick: Alright, thanks. Appreciate that color. Congrats again Mike.
Operator: We will now go to Dan Oppenheim with Zelman and Associates.
Dan Oppenheim: Thanks very much. A quick question here on Nor Cal in terms of the efforts to sort of prevents on the rent control by limiting the renewals to 10%. Are you seeing that keeping turnover down so far in Nor Cal or how are you seeing that in terms of what's happening in turnover with those renewals limits at 10%?
Erik Alexander: Yes, this is Erik again. So it does absolutely help to keep the turnover down. So we talked about 55% turnover overall in the portfolio for the quarter. It was 51% in Northern California for example where we have the most renewing leases exposed to this 10% cap. And so last year it was over 54%. So again the turnover is coming down in that area. And we commented before that [indiscernible] nor I are getting thank you notes from anybody on this stuff. But what happens is they go out into the market and look at some of the competitors and they come back and tell our staff well I had to pay attention to this and this, several hundred dollars, few hundred dollar higher. So it's absolutely having an impact on turnover.
Dan Oppenheim: Great, thank you.
Operator: And Rich Anderson with Mizuho Securities is next.
Rich Anderson: Thanks. Good morning to everybody. Mike last time Mike Schall last time you said you get to 600 million of acquisition by September not that it is a long way to go from there but is that kind of line of thinking off the table now?
Michael Schall: No I don’t think so Rich, I think we're at 571.
Rich Anderson: No I know that, I know that.
Michael Schall: 471.
Rich Anderson: 471.
Michael Schall: 471 with a pipeline of about a 100 million.
Rich Anderson: Okay.
Michael Schall: It should take us to 571 that includes the three joint venture buyouts that we did. So I think we are on pace but again we are looking at a few things and it's pretty tough out there, it's interesting that we have -- we had about what about a 50 basis point move in interest rates from when we did our last bond deal at around 3.5 we would probably be somewhere around 4% now and certainly cap rates have not changed over that period of time.
Rich Anderson: Right. I was thinking line of thinking not so much for your absolute numbers like going forward basis maybe not thinking so much about guiding to a number after this is done?
Michael Schall: Rich again in our case it's such a function of -- again the stock that we're going to issue and how we're going to complete the match funding process, again whether the investments, whether we can find investments that are going to generate a total return that's better than the stock. So that equation changes literally daily and if the stock does well we're going to be more active and if the stock does poorly we're going to be less active and/or we would be more interested in selling.
Rich Anderson: Okay. I have heard from some folks that people are actually now living in rented tents in backyard in Northern California with access bathrooms from private individuals that own homes. Have you heard this? And before you answer that, putting the rent control issues aside, I mean do you guys have any concern about karma and alienating people at this point that cannot own a home or rent an apartment are actually taking very substantial steps just to put a roof or a piece of canvas over their head, just wondering if you could talk about the long-term ramifications of milking every last penny out of the market?
Michael Schall: Wow, somehow implied in that comment is that we are milking every last penny out of the market, which I would tend to disagree with, I mean as Erik just said we have cap on our renewal rents, we are trying to act as the responsible party and I am not sure I can comment on my karma. But having said all that.
Rich Anderson: Its Friday I am trying to keep it going here.
Michael Schall: I hear you. I've heard that people are actually living in freight containers for example, that was the most recent one. San Francisco is trying to entitle garages, unentitled units and second rooms. There is a variety of things that are happening. People are doubling up. And I think probably more telling is that people are essentially moving a little bit farther away from the core areas in search more affordable housing. And I think that is the way that the rental market works, that the people in San Francisco when rents go up significantly and the same is true in Manhattan and a variety of other places. When rents go up significantly, some people are priced out and they could go to Oakland and then the people -- Oakland rents go up and then the people that are in Oakland get pushed up to San Riamone or Livermore. And this radiates through the entire rental market until everything within let’s say the Bay Area in this case is completely full, in which case I think at that point it’s a real problem. I think at this point there is still pretty significant variations in price as you go further out from the primary rental market and the main job notes. And therefore I think it’s still -- there is still opportunity within the marketplace. And again I think that’s why we see the Bs are outperforming the As for example.
Rich Anderson: Thanks for humoring my question. And then last question is now that you’ve finally upgraded the CFO position, do you think we’ll see upgrade in G&A?
Michael Schall: Well, I guess I need to negotiate with Angela before answering the question.
Rich Anderson: I am sorry, had to do it. Good luck Mike. Thanks.
Operator: We’ll now go to Greg Van Winkle with Morgan Stanley.
Greg Van Winkle: Wanted to get your thoughts on your Seattle and Bellevue exposures, you’ve given the Bellevue supply risk. Would you guys look at trimming some assets in that submarket maybe?
Michael Schall: No, I don’t think so. I mean Bellevue I think is another area that is undergone incredible transformation over the last several years and only continues to get better. I think you have high paying jobs and a vibrant economy in Seattle. And so I think we like our Bellevue exposure. I don’t view our exposure as being excessive in any part of the Seattle Metro area. We’re just somewhere in the 20% range downtown, CBD maybe that could get a little bit bigger. Although in the short-term we have some headwinds there from new supply. And we’re in the better submarkets on the east side. And actually the north and south ends of Seattle are the ones that are generating the best growth which would probably be the areas that we ultimately would want to sell. So, I think we’re happy in Bellevue and Redmond and Issaquah, and some of those core east side market. And we’re enjoying some of the incredible rent growth we’re getting in Renton and Everett so we’re happy with where we are.
Greg Van Winkle: That’s some good color. And then you guys issued above $90 million of equity during the quarter, did you do any dispositions. Should we read into that that you view equity as most important source of capital over dispositions today?
Mike Dance: As Mike pointed out earlier, we were match funding some compelling transactions in Southern California, that doesn’t work right now. So, we would look to, as he mentioned in his comments, calling some of the portfolio to fund the development needs for the rest of the year to the extent that there is an acquisition that works then we would look to issue equity again.
Operator: We’ll now go to Drew Babin with Robert Baird.
Drew Babin: Given your current outlook for property taxes and just visibility on the progress made with the CBE portfolio so far. Would it be outside the realm of reason to assume that same property expense growth might actually be lower in ’16 versus ’15?
Mike Dance: We pretty much have 2% this is Mike Dance. We have 2% expectation for the property tax increases. We are seeing some wage pressure right now with the strong economy. And so I think 3% is our expectation for ’16 in terms of operating expense growth.
Drew Babin: But not guidance?
Mike Dance: Not.
Drew Babin: And lastly just did you look at acquisition opportunities, and what’s the likelihood that the next acquisition could come from your co-investment portfolio? And what are sort of the advantages of doing it that way with regard to pricing?
Michael Schall: I think that that was an opportunity that was presented in the marketplace really framed earlier this year by the 10 year treasury been at 1.8% and the stock trading somewhere around 235 to 240 which we thought was a great time to match fund off a couple of the buyouts of our JV partners. Those dynamics have changed very considerably in a quarter and half, and therefore I don’t see that happening any time in the foreseeable future.
Operator: And we’ll take our last question today from Conor Wagner with Green Street Advisors.
Conor Wagner: First question on development in some your markets, seen a tax purpose on development in Seattle in addition to requirement for affordable housing as well as a potential tax on residential development in San Francisco, can I get your thoughts on that and how it impacts you look at those markets in your future development?
Erik Alexander: By tax on development you're talking about in lieu for affordable?
Conor Wagner: Yes, in Seattle, I guess they're discussing having affordable acquirement on future buildings as well as linkage fee and then I've also seen in San Francisco discussion of that's the residential development that's currently on other commercial types of development?
Erik Alexander: Yes, that' is correct and there is also a few of those issues happening in California as well. It's another exaction that makes it tougher to make a number's work, that was what we were referring to earlier that dilutes the spread that we're looking between acquisitions cap rates and development. So it's out there with the pressure that's on, on the affordability side relevant to Mike’s earlier comment. That's what, is the gatekeeper to keep things from being overbuilt because that puts more impediments to developing.
Conor Wagner: Then follow-up, I'd like to know what the historical relationship band between rent spreads with Oakland and San Francisco, where they now? And do you anticipate that relationship changing in the coming years?
Erik Alexander: They obviously differ by product type, given the growth in Oakland has been filling up faster this year. It’s tightening and so it's been several $100 difference or more, and I think that's closing and I think you'll continue to see that as Mike talked about people moving from the peninsula and San Jose and San Francisco into the East Bay, including Oakland. So we like those markets going forward and we also like because over the years it just gotten better to commute back to job. East Bay has added some jobs as we've talked about, but certainly not as much as Silicon Valley and San Francisco. But the Bart line has been extended further. We see people with the properties that we have along that line commuting back into it, just becomes a better alternative to people every year.
Operator: And I'd now like to turn the call back to Mr. Schall for any additional or closing remarks.
Michael Schall: Okay, thank you. In closing, I'd like to thank everyone once again for joining on the call. We hope and your families are enjoying a safe and enjoyable summer season. Good day. Thank you.
Operator: And thank you. That does conclude our conference for today. I'd like to thank you everyone for your participation and have a great afternoon.